Operator: Good day, and thank you for standing by. Welcome to the Prada Group First Half 2025 Results Presentation. [Operator Instructions] Please note that today's conference is being recorded. I would now like to hand the conference over to Mr. Andrea Bonini, CFO. Please go ahead, sir.
Andrea Bonini: Good afternoon, everyone, and thank you for joining Prada Group's First Half 2025 Results Call. I'm delighted to be with you again. Alongside me today are Mr. Andrea Guerra, Group CEO; and Mr. Lorenzo Bertelli, Group CMO and Head of CSR. Mr. Guerra will start today with highlights for the first half of 2025 and a business update, followed by Mr. Lorenzo Bertelli with an overview of our marketing activities and ESG initiatives. I'll then present our financial performance, before Mr. Guerra signs off with some closing remarks. Before we start, please be reminded that during today's call, we may discuss forward-looking statements, which are subject to risks, uncertainties and factors beyond our control that could cause the actual outcome and returns to differ materially from such statements. Please refer to the disclaimers included on Slide 2 of our presentation. With that, I will hand over to Mr. Guerra.
Andrea Guerra: [Foreign Language] We have been very focused during this first 6 months. We've been working hard. For sure, another complicated period for our industry. We, as Prada, are reporting to you what we feel being a solid and healthy set of numbers. Solid because yet we have been able to foster our relationship with our consumers worldwide, and we've been able to register a double-digit growth, mainly almost totally like-for-like. We have scored a growth of 10% against the period for Prada, a very strong comparison and a continuous journey for Miu Miu. We had a significant growth difference for Prada between the 2 semesters in 2024. We have just finished the toughest comparison. As I stated at the beginning, we have seen probably, and let me repeat, probably the worst, an industry on one side that is resetting after 20 years of almost constant growth. And on top of that, a cyclical downturn basically led by tourism. This should be quite a special period in this year. On one side, devaluation, on the other side, geopolitical, is now turning to the fact that there is less American tourists in Europe and especially during spring/summer, they are fundamental for the luxury business. And on the other side, we have a complicated comparison with the huge spike of Asian tourism in Japan during spring/summer 2024. As a reminder, last year Q2, Prada Group in Japan finished with a plus 65%. So it was a solid semester. Why healthy? Because on one side, I think we have been continuing working diligently on efficiencies, on productivity, on being able to increase our numbers per square meter per single people in the store. But on the other side, we constantly continue to invest on our people, on our brands, on our stores, our new collections and products. And at the end of all of this, we have been able to keep up with the strong profitability. So in one sentence, I would say, yes, it is tough, but so far we have been able to follow up on our long-term journey. Business-wise, looking at Prada specifically, I would give you 3 bullet points. First, the brand, the shows, image, foundations, pillars are all loved, also in this resetting of the industry. Two, we have invested and worked incredibly hard on new products and collections that we have been launching and launching right now. We feel that the product structure of these collections and the price structure of this collection with more stretching between entry price and higher prices, we feel that these collections are very correct in this moment of the industry. Three, we have been elevating our relationship with our consumers, our hospitality day after day. The last example of all of this is the opening of our Man's store on 5th Avenue, which allows men to enjoy, invest, dress up on a kind of dream lounge where there are more than 250 SKUs ready for make-to-measure and make-to-order. So really going through a journey of uniqueness and personalization. On the other side, Miu Miu. Miu Miu is on a journey. The link -- the great deep link between the brand and the Miu Miu consumers is even stronger and deeper compared to 6 and 12 months ago. We had a very well-balanced growth between products and geographies. Huge investments and results are paying off. As we said, we wanted to balance and rebalance the European region, and that European mission is going on with great results and achievements. And I think that the symbol of all of this has been the reopening of our New Bond Street boutique, a store made of contrasts. Post-industrial on ground floor and a wonderful Salotto Club on the second floor, where you can enjoy all our unbelievable treats by our wonderful staff. Having said this, I will ask now Lorenzo to take over, talk about our brands in more deep and even giving you some update on our sustainability journey.
Lorenzo Bertelli: Thank you, Andre, and good afternoon. I would like to begin by highlighting Prada's marketing and communication initiatives during the semester, which enabled the brand to maintain strong relevance. Both Menswear and Womenswear fashion show were met very positively, affirming Prada's creative strength. Campaigns such as Ten Protagonists featuring Carey Mulligan, Prada Re-Nylon and Days of Summer further enforces the brand's cultural resonance. Signature events, including Prada Mode, Prada Frames, The Sound of Prada continue to deepen Prada distinctive identity on the intersection of fashion, art and architecture. These creative initiatives enable us to collaborate with renewed and inspiring personalities such as Theaster Gates, Kazuyo Sejima and Formafantasma. Lastly, new experiential venues such as Mi Shang Prada Rhong Zhai in Shanghai, a unique all-day cafe and restaurant conceived by renewed arthouse director, Wong Kar Wai, offered elevated and immersive expression of the brand universe. Moving on to Miu Miu. Miu Miu distinctive exploration of femininity continued with the impactful Fall/Winter 2025 fashion show, which was met with highly positive reception. The latest Leathergoods and L'Été campaigns, celebrated the brand's aesthetic through the distinct gaze of celebrated photographers. The first half of the year also marked the second iteration of Miu Miu signature cultural format, including Tales & Tellers in New York, Literary Club in Milan and Summer Reads in cities around the world. The brand collaborated with 4-time Academy Award winner director, Catherine Martin, with short movie, Grand Envie, accompanied the unveiling of the new Miu Miu upcycle collection. The brand also fostered the ongoing collaboration with New Balance, partnering with tennis champion, Coco Gauff to explore the boundaries between fashion and sportswear. Finally, immersive in-store experience linked to the Miu Miu Gymnasium and Miu Miu Custom Studio collection provided new ways to elevate the customer journey and expanded the Miu Miu community. We now turn to ESG, an essential driver of the group's sustainable long-term growth. As part of our environmental strategy, we advanced the transition to lower impact raw materials and made progress in responsible chemical management through targeted training programs for both supplier and internal operation teams. Significant investments were also made in full end-to-end traceability while assessing upstream impacts on biodiversity. To support our people-centric vision, we implemented a global DE&I road map, which includes People Culture Forums and the rollout of our DE&I awareness training program. We reinforced our commitment to women representation in the top and senior management roles and progressed with salary review to addressing the gender pay gap. Our dedication to ocean literacy and preservation was further enhanced through the creation of "SEA BEYOND - Multi-Partner Trust Fund for Connecting People and Ocean”", launching in collaboration with UNESCO to mobilize financial resources from a diverse range of partners. Moreover, in April, we inaugurated the SEA BEYOND Ocean Literacy Centre in Venice, thus offering the dedicated space to promote knowledge and understanding of the ocean. And with this, we will now hand over to Andrea Bonini for the financial review. Thank you.
Andrea Bonini: Thank you, Lorenzo. Starting with Slide 12, we closed the period with a solid P&L with healthy growth and some profitability. The group reported net revenues of EUR 2.74 billion, up 9% versus H1 '24 at constant FX. FX had a drag on net revenues of 160 basis points, leading to an increase of 8% at current exchange rates. Retail sales for the period reached EUR 2.45 billion, up 10% versus H1 '24 at constant FX. EBIT adjusted reached EUR 619 million in H1 '25 with margin of 22.6%, showing steady profitability versus H1 '24, notwithstanding higher investments to strengthen brand desirability in our retail and business infrastructure over the long term. At the end of June, cash flow from operations reached EUR 696 million and net cash position stood at EUR 352 million. Moving to the next slide. The retail channel delivered a solid performance in the period with sales up 10% versus H1 '24 at constant FX of which 8% in Q2, driven by like-for-like full price sales. The contribution from additional space remained limited in the semester. Wholesale was down 1% versus H1 '24 and down 7% in the second quarter. The channel was impacted by some degree of phasing, but our strategy remains unchanged as we maintain a selective approach with independents. Royalties were up 10% in the semester with growth supported by both eyewear and fragrances. Turning to the next slide, retail sales by brand. Prada retail sales were down 2% in the semester, showing good resilience in the challenging context and against high comps. As we will see later, the performance in the second quarter was mostly impacted by Japan and Europe due to lower touristic flows. On the other side, Americas and Asia Pacific did sequentially better. Miu Miu continued on a trajectory to sustainable growth with 49% retail sales growth in the semester and 40% in Q2. Growth was well spread across all categories and regions. The brand now contributes to 32% of the group retail sales versus 23% in H1 '24. Good performance also at Church's, up 4% in the semester and 6% in Q2. Moving to the next slide. In H1, the group achieved solid growth across all geographies, notwithstanding the headwinds faced in Japan, particularly in Q2. Retail sales in Asia Pacific were up 10% in the semester with similar trends between the quarters amid broadly unchanged conditions in the region. Europe was up 9%, with Q2 impacted by lower touristic spending on tough multiyear comp basis. Local demand remained fairly stable over the period. Good progression in the Americas with Q2 improving on both local and traveler spending. As for Japan, the region decelerated against exceptionally high touristic flows in 2024, especially in Q2. And as a reminder, the group registered plus 65% in Q2 '24 and plus 48% in Q3 '24. Domestic demand, however, proved resilient. And lastly, the Middle East delivered the best performance of the semester, up 26% in H1 with balanced performance across the quarters. Turning to next slide. Gross margin was at 80.1% in the semester, broadly stable year-on-year. OpEx, excluding nonrecurring expenses mainly related to the acquisition of Versace, increased by 9% at constant FX. Mostly driven by discretionary consumer- facing activities, variable expenses, including labor and rent as well as the D&A impact resulting from the step-up in CapEx. We've been focused and disciplined on fixed costs. And as a result, the group generated an EBIT adjusted of EUR 619 million, up 8% against H1 '24, corresponding to a margin of 22.6%, in line with H1 '24. Finally, net income reached EUR 386 million, in line versus the same period of last year. CapEx for the first half of 2025 was EUR 247 million as we kept investing across all the key strategic areas. There is a phasing element in the comparison with H1 '24, in which we had spent roughly 1/3 of the full year CapEx, excluding real estate. And this semester, we are at 40% to 50%. On the retail side, we continue to elevate the network and enhance the in-store experience, and we had some landmark new openings, as you heard from Andrea. On the industrial side, we continue to expand organically and inorganically our infrastructure, investing in new facilities for leather goods and ready-to-wear and improving and expanding others. And we made steady progress on digital transformation, which takes a good portion of that middle block. Moving to the next slide. Net working capital increased by circa EUR 40 million year-on-year to reach EUR 819 million with incidents on net sales declining from 16% to 15%. And if we look at inventory specifically, we have reduced our DIO year-on-year by circa 1.5 months. Lastly, the group retains a solid balance sheet, closing the semester with a net cash position of EUR 352 million, thanks to healthy cash flow generation. The one item that I would call out for comparability with H1 '24 is taxes because in H1 '24, the payment shifted to July due to calendar. With that, I will hand over to Andrea Guerra for his closing remarks.
Andrea Guerra: Thank you, Andrea. Now we are happy with the first 6 months, and we have begun second half. No major changes to be reported, expecting some cyclical negatives to finish up as we said before. We have gone through a period where we have refused to imagine that the industry was resetting. Then we have had a lot of fears and a lot of people that didn't know exactly how to tackle this new world. Then we understood. Today, we are simply navigating in this new world. This is the new world. We are ready for this. We're working in this world today. We needed to have collection correct for this new world. Collections that have a soul, products that are able to give you emotions. Products and collections that are able to satisfy, inspiring consumers that today are a little bit weaker and very wealth people that are looking for unique and personalized products. We needed to upgrade our infrastructure. We needed to upgrade our systems, and we are, I think, today at par. We're not looking for shortcuts, keeping our strong grip on full price. We are also every day on our efficiencies. Again, every 3 months looking at everything we can do to be lighter and more agile. So we want to be more desirable. We want to be unique also in this very complicated new world. Can we forecast what will happen in the future? No, but we can plan even better and being very agile moving right and left when things happen. Thank you for listening, and we will open now the word to you. And if you have questions, comments, doubts, here we are. Thank you very much.
Operator: [Operator Instructions] And your first question comes from Chiara Battistini from JPMorgan.
Chiara Battistini: The first question would be on -- maybe if you could share some more color and specific comments on the American and Chinese clusters in Q2, especially for the product brand. So putting together the domestic and the tourist, how these 2 clusters evolved sequentially in Q2? Second question, you mentioned that so far in Q3, nothing to call out that is different versus Q2. The comps do get easier in Q3 versus Q2. So how would you think we should be approaching or how should we be thinking about the easier comps in the current environment? And then just a clarification on the wholesale swing that we saw in Q2 versus Q1. The comps were indeed very tough in Q2. So is there anything else besides the timing of shipments that we should be thinking about? And what's your outlook for wholesale for the second half, please?
Andrea Guerra: Maybe Andrea can take the first one on clusters.
Andrea Bonini: Sure. Chiara, on clusters, starting with the Chinese and with reference to the Prada brand. Chinese in Q2 was a bit softer than Q1, but no major changes, I would say, was what I would call subdued but stable local demand and softer travel transactions. North Americans was positive low single digit in H1 with local demand improving, but again, travelers weakening, as we already pointed out. And then we had Japanese, I will also add, so we do the complete picture as always. Japanese positive low single digit in H1 with no major differences quarter-on-quarter. And Europeans that was negative low single digit in H1, a bit softer quarter-on-quarter, driven by traveler transactions and broadly stable on local demand, and that's the picture on clusters. On the easier comps, I'll pass it back to Andrea.
Andrea Guerra: So when I say nothing to call out, I mean, if I look to Q2, we had a worsening and then improving quarter. And yes, there are easier comps. Yes, I think we have stronger collections probably even ahead of last year in terms of timing. Yes, Japanese situation and American tourist situation should flatten out. So I could be tempted to saying that we have seen the worst, but I don't think that, that could be a proper way of putting it. I think we need to prove it, and we need to sequentially prove it. There is no other reasons today to see a situation which can get worse than this. So we are working fairly positive looking to the next periods. But every day, things are changing. Every day, every week, things are going left and right. So we keep a very prudent positioning.
Andrea Bonini: Last one was on wholesale, where there's really nothing to point out besides indeed the -- some timing, some phasing effect on deliveries, which we would expect to recover in the second half. And therefore, end the year in line with our expectations and with the usual controlled approach, but substantially stable.
Operator: Your next question comes from the line of Edouard Aubin from Morgan Stanley.
Edouard Aubin: So I guess I'll do them one by one as asked. Sorry, Andrea Guerra, I guess, on the Prada brand, if you could come back on the new collection that you're hopeful that it should be doing well. Could you please come back on kind of the timing of the launch when it's going to be fully available in the stores? And then you mentioned in terms of the -- more specifically in terms of stretching the price range and so on. Are you playing more with the mix? You seem to indicate that you didn't think it was -- pricing was an issue at the Prada brand. So are you introducing a greater number of kind of cheaper, more accessible items there? So that's going to be my first question.
Andrea Guerra: So regarding the mix, I think that the mix is an obsession. And we have a great opportunity to sell at higher prices. I think that, that has to remain our primary objective. I think we need to prove better up there. And I think that we have been improving. We've been improving in the way we liaison with those consumers, the way we have developed all our new stores, the level of hospitality that we are offering today. So I think that, that's the major part. On the other side, I think that -- it's not to lower enterprise, but it's to remain credible at enterprise. I think that, that is what we have been doing, and this is what we have been doing this time even more. So I think that we have a well-balanced collections. And this is why I feel good about what we are offering to consumer regarding Prada Women and Prada Men.
Edouard Aubin: Got it. I guess so my second question would be for Andrea Bonini. On the lack of operating leverage in H1. So you grew close to 9% like-for-like, I guess, right, because you opened very few stores. And yet you had no -- you posted no operating leverage. I understand that advertising went up a bit as a percentage of sales. But hypothetically, assuming that you would continue with the same like-for- like trajectory in H2, should you be able to show some operating leverage? Or if you can come back on kind of what happened in H1 and what you're expecting for H2?
Andrea Bonini: Edouard, we're pleased with the trajectory. Look, I think it's -- again, it's all -- it all depends on priorities. And it was a stable profitability level, but in the context of an increase, which is more than slight in terms of customer-facing activities in the context of ongoing retail investments that, of course, have an impact in terms of D&A, have an impact in terms of rents. And as we always said, that is the priority to continue to invest for the long-term growth, maintaining, we also always said, ideally a certain trajectory of progressive margin expansion on a full year basis. And therefore, as I said, we're pleased with an EBIT that has expanded by 8% in the first half, year-on-year. And if we can maintain this level of top line growth, yes, we would also be able to maintain the trajectory that we talked about.
Edouard Aubin: Okay. So -- okay, fine. And then maybe the last one is on Versace. So in terms of -- I know you're restricted in terms of what you can say, but could you just update us on the timing of the closure of the transaction? And also in terms of your battle plan and more specifically in terms of the management positions at Versace? Do you already have a good idea of who's going to do what there? And then lastly, on Versace, again, you're not going to share with us obviously any figures. But philosophically, would you be ready to make the tough decision quite upfront, quite quickly in 2026, for example, rationalizing your outlet network? Or would you kind of spread out kind of the rightsizing of the store estate and so on and so forth? Just of how you're going to go about it in terms of turning around the brand.
Andrea Guerra: So as usual, I mean, Versace is not our company. And therefore, it's very unusual to give comments on other people companies, and I will not do that. We're getting ready for everything you're talking about. How long it will take? It depends not on us, but it depends on authorities. We have an estimate that tells us that between September, October and November, those 3 months, we should be able to finish up and start. So at the beginning of 2026, we will be able to share much more information regarding what we're going to do. I think that when we signed the agreement, we said that it will take time, which means that we need to do things carefully. And on the other side, I think that the other big thing is not to kill the baby while you cure it, which I think it's the other important aspect. So we will go as fast as we can and as prudent as we can in terms of branding and identity positioning.
Operator: Your next question comes from the line of Erwan Rambourg from HSBC.
Erwan Rambourg: Congratulations on the results, and I'll do them one by one as well. First, on the Prada brand itself, despite being slightly negative on retail, you are gaining quite a bit of market share. I understand you've parted ways with Gianfranco D'Attis. And I believe, Andrea Guerra, you are -- I don't know if it's the right term, but babysitting the brand for now. Do you -- what do you envisage in terms of maybe changes, little tweaks, either short term or long term to continue to accelerate in terms of market share gains for the main brand?
Andrea Guerra: I think that is -- it's tough to imagine my job as babysitting the Prada brand, which needs much more than that. I think that we have many different opportunities. I think that the work done so far has been the proof that there is an opportunity for Prada to gain, I think, what deserves, what Prada deserves. And there is -- I mean, we've been working for the past years, but the journey is still long. The journey is still long on retail KPIs. The journey is still long on Prada Men, where I think we have a huge plateau and a huge opportunity. I think that our great strength on ready-to-wear men and women is allowing us to have yet today a crowd in our stores. And it's -- there are many different things that we are doing that we will continue to do. And I think that most of all is keeping the brand where it is. So the shows, the communication, the events, the activities, I mean, our duty is to constantly feed this positive tension between the branding, the identity, the creative. And as long as this happens, we will conquer market share.
Erwan Rambourg: Okay. Maybe the second question, moving to Miu Miu. I'm wondering what's exciting you most for what's next? Is it more stores? Is it bigger ones? Is it sales densities? Is it product categories? Anecdotally, you might have heard from this, but EssilorLuxottica had great things to say about the business that they're doing with Miu Miu. What are the main elements that excite you in terms of future growth for that brand?
Andrea Guerra: So first of all, and again, the first homework that we need to do is to keep Miu Miu where it is. We don't need to be tired about it. We don't need to be bored about it. I think that we still have a journey here. And I think that Mrs. Prada and the team will continue to go down this path. And I think that this is the most important one. The second being that today, we have a much bigger company to be managed. The group and the team is healthy and strong. I think that we have enriched from inside and some additions from outside, and we are in a much stronger platform today. I think that the real obsession has to continue to be leather goods. Leather goods is the greatest opportunity we have. I think that we have reached levels on ready-to-wear, which are at global best. And we now need to constantly -- even if leather goods in the last 3 years have been the fastest-growing category, there is still a journey to be done there. And this is what we're trying to do every week. So this is -- we still have a huge opportunity, as you all know, in North America. We got probably 5 or 6 freestanding stores. Americans are showing to us their love on Miu Miu. So we had to increase some square meters, as we said, probably in the region of between 10% and 12% during 2025 and probably the same next year, which is sometimes is enlarging stores because people are allowing us to enlarge our stores. Sometimes it is opening new stores, but we also trimmed here and there some useless stores. So it's always very careful. We are still in the region of the 170 stores. So we're pretty -- we still have a pretty reasonable number of stores, and this is what we're continuing to do. So nothing new. Sometimes we need to be bored of doing well what we're doing or improve what we're doing week by week.
Erwan Rambourg: Okay. Excellent. And then maybe lastly for Mr. Bonini. I didn't think gross margin could go higher, but I guess there's probably a positive channel mix and possibly a greater proportion of sales at full price. You've now passed the 80% mark. Is that where we should position ourselves for the next 2, 3 years at around very low 80%?
Andrea Bonini: Yes, that's correct. And the factors are the ones that, Erwan, that you mentioned. And we've already been at this level, and we went a bit backward and now we are again a bit forward. But as we always said, when we are at around 80% is where we think it's sustainable and should be.
Operator: Your next question comes from the line of Susy Tibaldi from UBS.
Susy Tibaldi: So my first one is about the retail KPIs that you've been mentioning several times and how there is still more way to go. I was wondering what are the things that increasingly you have learned and you have started doing better than in the past? And what are the things where you think you're still not so good at and there is much more to do?
Andrea Guerra: So the point is culture. I think culture, retail culture, commercial attitude, I think that these things do not change overnight. We have significantly improved. But if I compare ourselves to the best, there is a gap. So there is still a journey to be done, especially in certain regions of the world where we have improved. We have significantly improved, but we're still behind. And it's people, it's organization, it's the way we interact with our consumers. It's the way we are breaking the eyes in the first visits, it's the way we organize certain activities with recurring or VIC. There is a lot of things that we can do much, much better. We have been a little bit transactional in our past and moving from there to somewhere else takes time and takes a lot of time because the number of stores are well spread across the world. So it's a journey.
Susy Tibaldi: Understood. And when it comes to the growth because in the past, you used to provide growth by category. And you said that Miu Miu has been quite well balanced. When it comes to Prada, is it -- are you seeing any trend? Because obviously, in the industry overall, we're seeing leather goods being weaker and other categories being stronger. Can you give us some comments on the trends you're seeing by category? And also perhaps by price point, you are obviously expanding the price architecture, but we are seeing this weakness at the aspirational consumer. So is that also something that you think is being a factor? And so you're having the higher end, your more loyal consumer really driving the growth?
Andrea Guerra: I think that there are certain trends happening in the past 2 years, 2.5 years in this industry. Aspiring has been a little bit less dynamic and wealthier consumers have been pretty solid. So I think that we have been following that up. On the other side, what's nice and fantastic about Prada is that, as we all know, it's a multiphase brand. So we have an opportunity to be a little bit more sporty, a little bit more easier, a little bit more lifestyle on certain activity. And I think that, that is helping a lot. In terms of categories, I would say ready-to-wear and shoes have been the strongest categories. And leather goods, I think that we have gained significant market share in a market where I think, I'm not sure about, but I think there has been major losses by our competitors.
Susy Tibaldi: Definitely. And lastly, just a clarification on the space and the store openings. So because you've mentioned that in the H1 results, there was very little contribution from new stores. But then you're still saying that the space contribution from Miu Miu should be 10%, 12% for full year. So this is going to be quite -- really quite concentrated. We should expect quite a high space contribution in H2 from Miu Miu?
Andrea Guerra: No. No. Obviously, when you say 10%, 12%, you mean in a year time. So it means 5 or 6, in 6 months, in terms of space, then you need to open up, you need to bring it to where it has to be. So I would say that each opening that we have done, each enlarging that we have done in Miu Miu has been successful, but it takes time to be seen. So it will be more seen at the end -- in the second half and the beginning of next year. But what we said we are doing in terms of openings and enlargements. On Prada, it's a constant journey of opening a few and closing a few.
Operator: Your next question comes from the line of Luca Solca from Bernstein.
Luca Giuseppe Solca: I'm curious to get your thinking about how you're balancing the opportunity to price up and moving into a higher consumer cohort with the need to stay value for money and stay relevant with aspirational consumers. If you take leather goods, for example, or -- yes, leather goods in general, I would say, how -- as your sales mix by price band been evolving, for example, above EUR 3,000. If you could give us a sense and how you've been able to stay close to consumers that maybe have not more than EUR 1,500 to spend in the category? The reason I'm asking is we've seen quite a significant pressure on volumes on some of your peers and those that have increased prices the most, take Chanel, for example, have been taking it on their chin. So I wonder how you think about that? I will ask you my other questions afterwards as you demand.
Andrea Guerra: So I could -- result a little bit theoretical, but this is what we are first of all, trying to do, and I would say, also achieving results on. On one side, I mean, we have a strong statement with Prada Re-Nylon, and it's a huge statement. It's a fantastic statement. We have just introduced in the market a wonderful Explore family, which has been gaining volumes immediately. And I would say that, that is what we consider our statement in that part of the market. It's younger, it's dynamic, and it's also very functional bags. And Re-Nylon, I think it's our footprint in what you call, let's call it, the affordable, but I would call it one of our foundations. On the other side, we all know that the big opportunity for us was to stretch and the Galleria volumes are still going up. So I think that, that is something that we love, and we are ready for a new strong campaign in the next few weeks. And on the other side, we have introduced right now a number of bags coming from last fashion show, which I think are right where the market is asking us to be. They are simple from an aesthetical point of view. We have accessories, very structured, very soft. And I think with proper price points that really can allow us to generate a positive mix. I think everything is there in the mix. It's -- we have those consumers. Probably we're not being the greatest to host them and to give them what they were asking us in terms of service, in terms of privacy. And I think today, we have it. So again, I'm sorry to repeat that it's a journey, but it's a journey. And the improvement is there. It's not price -- we had a maintenance price increase at the end of June, so we had it, as we said during our last call. And -- but the mix is greater than what we have been able to do on pricing. And this is what we will continue to do. It's -- we have -- what's beautiful about Prada is that it can be sporty, it can be glamorous. This is one of the few brands that can allow us to play 3 or 4 games at the same time. Is this easy? No. But this is what the DNA of Prada is.
Luca Giuseppe Solca: Understood. That makes perfect sense to me. On a different topic, eyewear, you have a very productive partnership with EssilorLuxottica. I wonder what your thinking is on the smart glasses opportunity and if you're considering it as appropriate for the Prada brand sometime in the future?
Lorenzo Bertelli: It's Lorenzo speaking. Luca, I take the question, if you don't mind. I think that the point of -- we have a great partnership with EssilorLuxottica. They are friends of us, and we are working with them on several projects. I think the biggest point of the smart glasses is how they're going to be in 5 to 10 years. I think potentially, they're going to change quite a bit the way we see glasses in general and smart products in general. I think it's a journey. I think if we look back in time, we are at the beginning of the smartphone before the era of the iPhone. And so it's a bit early to do like big announcement of -- to say something big about smart glasses. But I think it's definitely something that we are looking for and it definitely has seen some of the last products they're going to launch, and the technology is quite impressive. But we are at the beginning, I think, of some kind of an era. So still, I think we have not a clear understanding from the product point of view of what is going to be in the future because still there are point on the form factor, functionality and so on, but it's coming fast. And I don't know if you ever tried some of them, but especially the last generation that they will launch in a few months, I think were to try to understand the potential. I hope I answered to your question.
Luca Giuseppe Solca: Yes, absolutely. Maybe a small one on your senior management organization. Gianfranco D'Attis has left. Are you planning, Andrea, to replace him temporarily or permanently?
Andrea Guerra: So first of all, I've been thanking Gianfranco D'Attis for what he has done in this 3 years, for his efforts, for the business evolution. So I've been thanking and I will continue thanking him. On the other side, Prada brand is unique. And certain times, we forget that this is a first-generation brand that maybe doesn't need a CEO, but needs a kind of bright coordination between very strong people, ideas, souls, creativity, thoughts, sometimes going with the flow, sometimes going exactly the opposite of the flow. So I've been taking personally this task, and I will keep on doing that. And we will judge it due course, we will understand. But if it is an interim, it's a long one.
Luca Giuseppe Solca: Understood. And lastly, if I may, we're going to see another launch of [ newness ] in September with most brands presenting new creative directors. What are you planning to do in order to keep the focus and in order to keep the momentum going at Miu Miu?
Andrea Guerra: We should ask Mrs. Prada. And I'm sure that she has all the resources and all the ideas and the things to show to the world that we are still up there.
Luca Giuseppe Solca: Let us know if you managed to speak to her then.
Operator: Your next question comes from the line of Daria Nasledysheva from Bank of America.
Daria Nasledysheva: I have 2, and I will also ask them one by one. So my first question would be, could you please share any color at all on relative profitability of Miu Miu and Prada brands as it stands today? And how should we think about the group profitability profile development as Miu Miu starts to be more active from the space growth perspective?
Andrea Bonini: Thank you. It's Andrea Bonini. Miu Miu, we discussed this in the past in the sense that the 2 brands were and remain at different stages of maturity, different size. Miu Miu has clearly been on a very positive trajectory, easy to imagine considering the organic growth trajectory and therefore, the increase in productivity, the increase in sales density. At the same time, Miu Miu remains in certain aspects behind Prada in the curve and in terms of the investment that is still needed. And to this, we can link the point around space that was made. And going forward, look, I mean, it's great in a way to have a multi-brand portfolio because indeed, at times, you can have diverging trends that compensate, help each other and the 2 brands can indeed support each other. At the same time, the way we look at profitability is in a very independent way, one to the other, and both brands need to be on their own trajectory, positive trajectory and move along that curve.
Daria Nasledysheva: Perfect. And my second question is actually a little bit of a follow-up. If we think about drivers of organic growth for the group and actually if possible, both for Miu Miu and Prada on a brand level, could you please help us understand a little bit how we should think about building blocks from volume, mix, price perspective? And what are the key initiatives to really drive volume growth from here, particularly for Prada? Or would you say this volume inflection depends more on a cyclical recovery rather than anything else?
Andrea Guerra: I will do my best. I thought that I was -- I had answered in different other answers to these questions. I mean, when we look to Miu Miu, there is a geographical opportunity. We're still underpenetrated in most of our countries, except a couple of countries in Asia. We are underrepresented on certain product categories and the first being leather goods, where we are catching up, but there is still a long way to go. And I think that with Miu Miu yet, we have an opportunity with some a little bit wider and larger stores to offer the opportunity for people to buy also at a higher price level. We will start a world tour in Q4 with something which is very unique to Miu Miu, very inclusive, very easy, but yet very special in terms of product offering, hospitality offering and pricing offering. So this is Miu Miu. On the other side, in Prada, I think it's mainly our retail activities and how we go from the buying and we go into the stores and doing our homework in the stores. I think that these are the 2 main aspects. And obviously, if we have been able to keep up in this 24 months because now it's 24 months that the industry began the decline. Let's imagine that in the near future, we can imagine a little bit of the softer landing and maybe probably also a kind of new growth.
Operator: Your next question comes from the line of Thomas Chauvet from Citi.
Thomas Vincent Chauvet: I have 2 questions. I'll start with the first one on tourism. You mentioned cyclical demand pressure related to tourism earlier. Is it fair to assume this will continue in Q3 and impact maybe the Prada brand in the same way as in Q2? And could you indicate what's the Prada brand share of tourist spending globally now and in the key tourist markets, so Europe, Japan and I guess, rest of Asia? That's my first question.
Andrea Guerra: So in terms of tourism, I think Q3 will be a little bit softer that is tourism, American tourism is at its peak in July and then peaks down. And instead for Japanese, the peak was a gain end of June, mid-July and then started to descend. So these are the expectations we have. If I look to traffic patterns, if nothing else changes, I think that we will be basically breaking even in end of August.
Thomas Vincent Chauvet: By breaking even, you mean Prada brand returning to flat like-for-like?
Andrea Guerra: No, I'm talking about tourism traffic.
Thomas Vincent Chauvet: Okay. And could you remind us the share of tourist spending globally for the Prada brand in the key markets?
Andrea Bonini: 70-30, roughly.
Thomas Vincent Chauvet: 70-30?
Andrea Bonini: Yes, 70 local, obviously.
Thomas Vincent Chauvet: Okay. Mainly Japan, Europe, I guess, and a bit of Southeast Asia?
Andrea Bonini: Yes.
Thomas Vincent Chauvet: Okay. And my second question on marketing costs that were up 16% year-on-year in the first half and above 9% of sales. Is it due to an unusual phasing of events? And apologies if you've already said that. I may have missed it. Or are you expecting A&P to be above 9% of sales for the full year, which I think would be slightly above historical average?
Andrea Bonini: No, there's no significant phasing as we always said. I mean when we say the priority is growth, the priority is to continue to invest behind the brand, particularly at a time where we see some of our competitors actually stepping back a little. We think considering the performance of the group, it's -- we see it as a great opportunity on the contrary to accelerate and do what we do to be top of mind. We have -- sorry, we're already over time, but maybe we'll take 1 last person. Thank you.
Operator: Your final question today comes from the line of Melania Grippo from BNP Paribas.
Melania Grippo: This is Melania Grippo from BNP Paribas. I've got 2 questions. First, I wanted to ask if you could please update on your number of outlets? I remember you have been closing quite a few of them and probably you had to close a bit more. So I was wondering if you could please tell us what is the number here?
Andrea Guerra: So there is no real -- I mean, the journey is going on. We -- outlet is between 5% and 10% of total sales. What is important is that we have drastically changed the business model of our outlets. And I think that between outlets and wholesale, which are obviously very different channels, they are today in a very, very prudent and conservative percentages.
Melania Grippo: Okay. And my other question is on the performance of the online channel. If you could please tell us, give us an idea of how it performed?
Andrea Guerra: So we are seeing in Miu Miu a proportional growth, which is not bad at all looking to the growth of the business. And I am very interested in looking to our American profile in our e-commerce in Miu Miu, thinking to the small footprint that we have in terms of stores. I think that the growth of this channel that we could also call it omni, and we could also add a very strong client services activities. I think that, that could be really opening up some new ideas on the way we do business in the United States. On Prada, we had a little bit more positive performance on e-commerce compared to our physical in the last 6 months. So I think that with this, we have concluded. As Italians, we are going on holiday. And I hope that all of you can have a rest, and talk to you soon. See you soon. Thank you. Bye-bye.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.